Operator: Hello, and welcome to Albemarle Corporation's Q2 2025 Earnings Call. I will now hand it over to Meredith Bandy, Vice President of Investor Relations and Sustainability.
Meredith H. Bandy: Thank you, and welcome, everyone, to Albemarle's second quarter 2025 earnings conference call. Our earnings were released after market closed yesterday, and you'll find the press release and earnings presentation posted to our website under the Investors section at albemarle.com. Joining me on the call today are Kent Masters, Chief Executive Officer; and Neal Sheorey, Chief Financial Officer. Netha Johnson, Chief Operations Officer; and Eric Norris, Chief Commercial Officer, are also available for Q&A. As a reminder, some of the statements made during this call, including our outlook, guidance, expected company performance and strategic initiatives may constitute forward-looking statements. Please note the cautionary language about forward-looking statements contained in our press release and earnings presentation that also applies to this call. Please also note that some of our comments today refer to non-GAAP financial measures, reconciliations can be found in our earnings materials. And now I'll turn the call over to Kent.
Jerry Kent Masters: Thank you, Meredith. For the second quarter, we reported net sales of $1.3 billion, including strong volume growth in energy storage and specialties. Adjusted EBITDA was $336 million, reflecting year-over-year cost and productivity improvements in energy storage product mix. As a result of this performance and cash actions we pursued in the quarter, we also improved our leverage metrics and strengthened our financial flexibility. We are maintaining our 2025 outlook considerations and now expect to achieve positive free cash flow in 2025. Both assume the current low lithium market pricing persists for the remainder of the year. This is largely due to our team's successful execution of measures to reduce operating and capital costs and preserve financial flexibility. For example, as of June, we achieved a 100% run rate of our $400 million cost and productivity improvement target, the high end of our initial target range. We are also further reducing our full year 2025 expected capital expenditures to the range of $650 million to $700 million, down about 60% versus last year. Finally, we enhanced our financial flexibility by redeeming preferred shares we held for an aggregate value of $307 million. On a relative basis, we see macro conditions stabilizing, and our end markets and operations have generally followed the trajectory we expected this year. Lithium demand continues to grow strongly with estimated global lithium consumption up about 35% year-to-date, including strong volume in stationary storage and EVs. We continue to expect the direct impacts of tariffs announced since April to be minimal on our enterprise, thanks to the exemptions and our global footprint. And finally, in the Middle East, our operations in Jordan have continued uninterrupted by the recent Iran- Israel conflict. We'll dive into these and other macro conditions later in the call. Now I'll turn it over to Neal, who will provide more details on our financial performance and outlook considerations. I will conclude our prepared remarks with an update on our macro and end market conditions, including further details on our lithium market forecast before opening the call for Q&A.
Neal R. Sheorey: Thank you, Kent, and good morning, everyone. I will begin with a review of our second quarter financial performance on Slide 5. We reported second quarter net sales of $1.3 billion, which declined year-over-year, mainly due to lower lithium market pricing. The pricing impact was partially offset by higher volumes in energy storage and specialties. Second quarter adjusted EBITDA was $336 million, also down year-over-year. Lower input costs and ongoing cost and productivity improvements helped to mitigate the impact of lower lithium pricing and reduced pretax equity earnings. EBITDA improved sequentially, largely due to higher energy storage and specialties volumes and continued cost savings. Adjusted earnings per share was higher year-over-year, due primarily to a prior year charge related to asset write-offs and associated contract cancellation costs. Slide 6 highlights the drivers of our year-over-year EBITDA performance. Q2 adjusted EBITDA was down slightly due to lower lithium pricing and pretax equity income. Mostly offset by reduced COGS related to the timing of Talison inventory flow-through as well as the benefits of our cost and efficiency improvements. The EBITDA impact of volumetric growth is primarily captured in the COGS impact, as our year-over-year volume growth enabled improved fixed cost absorption and reduced reliance on third-party tollers. Our SG&A costs were down more than 20% year-over-year due to our cost savings initiatives. Adjusted EBITDA increased by 35% in specialties year-over-year due to higher volumes and pricing, as well as reduced costs. Corporate EBITDA increased primarily due to cost reductions and foreign exchange gains. Moving to Slide 7. As always, we are providing outlook scenarios based on recently observed lithium market pricing. And on this slide, we have presented Albemarle's comprehensive company roll-up for each lithium market price scenario. All 3 scenarios reflect the results of assumed flat market pricing across the year in conjunction with Energy Storage's current book of business with ranges based on expected volume and mix. Our approximately $9 per kilogram scenario is based on Q2 average market pricing. For reference, the average lithium market price year-to-date was also just over $9 per kilogram LCE. And if we were to assume current pricing held for the balance of the year, the price would similarly be about $9 per kilogram LCE. As you see here, we are maintaining our outlook consideration ranges. In particular, the approximately $9 per kilogram range is expected to apply assuming recent pricing persists for the remainder of the year. We've been able to maintain our outlook ranges due to a combination of successful execution of our cost and productivity improvements, operational excellence, including energy storage project ramps, and strong first half 2025 demand from energy storage contract customers. Turning to Slide 8 for additional outlook commentary by segment. First, in Energy Storage, we now expect sales volume growth on an LCE basis to be near the high end of our 0% to 10% range, thanks to year-to-date record production from our integrated conversion network, plus improved mine performance at Wodgina and strong performance at the Salar yield improvement project. Energy Storage long-term agreements continue to perform in line with our forecast and we have no significant contracts up for renewal this year. We realized a strong first half Energy Storage EBITDA margin of about 30%, thanks to lower input costs and a higher-than-average proportion of lithium salts sold under long-term agreements. As a result, we experienced better-than-expected product mix in the second quarter. Second half margin is expected to be lower due to a smaller proportion of our lithium salt sales being under long-term agreements. Also, some spodumene sales that were previously expected in June shipped in July. Net-net, we continue to expect the full year EBITDA margin to average in the mid-20% range assuming our $9 per kilogram price scenario. In specialties, we continue to expect modest volume growth for the full year with Q3 net sales and EBITDA projected to be similar to Q2. Finally, at Ketjen, we expect modest improvements in full year 2025. We see Q4 being the strongest quarter of the year with higher volumes for both FCC and CFT. Please refer to our appendix slides for additional modeling considerations across the enterprise. Slide 9 highlights our strong focus on cash management actions. As a result of our commitment to effective execution and converting earnings into cash, we continue to expect full year operating cash conversion in excess of 80%. Additionally, we now expect to achieve positive full year 2025 free cash flow as a result of our operating cash flow generation and our reduced capital expenditure forecast, which we lowered to a range of $650 million to $700 million. Turning to our balance sheet and liquidity metrics on Slide 10. The measures we've implemented to control costs, reduced capital spending, enhance cash conversion and drive other cash actions have strengthened our financial flexibility. We ended the second quarter with available liquidity of $3.4 billion, including $1.8 billion in cash and cash equivalents, and the full $1.5 billion available under our revolver. At the end of the quarter, we closed on the redemption of our holdings, a preferred equity in a W.R. Grace subsidiary for an aggregate value of $307 million, including $288 million in cash received in June 2025. This transaction further contributed to our strong liquidity position. We continue to improve our leverage ratios, ending the quarter with a net debt to adjusted EBITDA ratio of 2.3x, well below the covenant limit. As a result of our cash performance and liquidity strength, we intend to utilize our cash for deleveraging. As a first step, we expect to repay our $440 million eurobonds with cash on hand as those bonds mature in November. With that, I'll turn it over to Kent.
Jerry Kent Masters: Thanks, Neal. I'd like to start by covering more details on the end market and macro conditions, starting on Slide 11. First, I will cover our JV operations in Jordan, given the recent activity in the Middle East. That business continued to operate safely and uninterrupted and even achieved record production in the second quarter. This is thanks in part to our NEBO project, which provides both financial and sustainability benefits. NEBO leverages innovative proprietary technology to recycle a co-product stream into additional sellable product. The result is higher volumes, lower cost and improved energy and water efficiency. The project reached mechanical completion in March and continues to ramp on plan. Here in the United States, the OBBB was recently passed. It is a complex piece of legislation, and we are actively assessing its implications to Albemarle as rulemaking continues to take shape. For example, there are several corporate tax implications that appear to be neutral to positive for Albemarle. As expected, the act also amends certain aspects of the Inflation Reduction Act and reinforces the value of our global assets, especially lithium production in the United States and Chile. The 45x tax credit remains in place for U.S. production of batteries and critical materials with phaseout beginning in 2031 and ending in 2034. Albemarle continues to expect 45x tax credits for critical minerals production at Silver Peak and Kings Mountain. As with 30D, some customers may be willing to pay a premium for domestic or free trade agreement lithium production. Finally, on the product demand side, global lithium demand remained strong, thanks to strong demand for both stationary storage and EVs. Global stationary storage battery production was up 126% year-to-date through May, with strong growth in all 3 major regional markets. Turning to Slide 12 for more on global EV demand, 2025 EV demand growth continued its strong start led by China, where EV sales were up 41% year-to-date. Interestingly, Chinese BEV sales have been the strongest segment of the market, up 44% compared to PHEVs, up 38%. This is in part due to recent subsidies in China that made the net purchase price for entry-level BEVs very attractive for consumers. European EV sales continued to strengthen during the quarter with year-to-date sales up 27% through May. Thanks to a continuation of the step change in regulatory emission targets. The outlook in North America is less certain, particularly in the United States due to the potential impact of tariffs and the removal of the 30D tax credit in September. North America is the smallest of the major regional markets with approximately 10% of global EV sales, which highlights its relatively low impact on global demand today. Strength in China and Europe more than offset weakness in North America, reinforcing confidence in the industry's long-term growth potential and highlighting regional dynamics. Turning to Slide 13. We continue to expect lithium demand to be more than double from 2024 to 2030, unchanged from our previous outlook, driven primarily by stationary storage and electric vehicle demand. We are also maintaining our expected 2025 demand growth range of 15% to 40%, including the anticipated impact of tariffs announced to date in the OBBB. Slide 14 gives more detail on expected market balances. We estimate that the lithium market has been in surplus since late '22 as high pricing in '21 and '22 led to supply expansions. At lithium pricing in excess of $70 per kilogram, effectively, every project was able to secure funding. Now as pricing stays lower for longer, new project development has begun to slow, while demand continues to be robust. Year-to-date, lithium demand growth has outstripped supply growth by nearly 20%, thanks to strong stationary storage and EV trends, and supply curtailments announced over the last year. If current pricing persists, demand growth is expected to outstrip supply growth by up to 10% per year on average between 2024 and 2030. As a result, we expect that surpluses may peak as early as this year, with the market expected to be more balanced next year and potentially returning to deficits in '27 and beyond. This analysis assumes that recent pricing of $9 per kilogram does not support most new or greenfield projects. Low-cost projects, in particular, brownfield expansions of existing low-cost resources are assumed to progress. It is also worth noting that this analysis does not include any impacts from recently announced or prospective supply curtailments in China. We remain confident in the long-term outlook of the lithium industry and the energy transition. In the meantime, we will remain patient and disciplined. Advancing to Slide 15. As we shared before, we continue to progress broad initiatives designed to maintain our long-term competitive advantages along these 4 pillars: optimizing our conversion network; improving cost and efficiency; reducing capital expenditures and enhancing financial flexibility. We are building a culture of continuous improvement. Our results this quarter once again showcased that mindset. Slide 16 highlights our progress on these actions. In terms of optimizing our lithium conversion network, we started off this year targeting energy storage sales volume growth of 0% to 10%. Today, we expect that to be at the high end of the range, thanks in part to record year-to-date production across our integrated conversion network, allowing for better fixed cost absorption and reduced tolling volumes. Second, we have continued to progress our cost and productivity programs. We began the year with a target of $300 million to $400 million cost and productivity improvements by year-end. Today, we announced a 100% run rate against the high end of that initial range of $400 million. Over the past quarter, we've executed projects to capture further reductions to non-headcount spending, supply chain efficiencies and further volume improvement at key manufacturing sites. This isn't a onetime action. We're building the muscle and mindset to identify opportunities to achieve savings and efficiencies. Third, we began the year targeting 2025 CapEx down approximately 50% year-over-year. The team continues to identify additional opportunities to reduce capital expenditure by prioritizing only on the highest return, quickest payback projects and optimizing value and project scope on existing projects. As a result, we now expect CapEx in the range of $650 million to $700 million, down approximately 60% year-over-year. As a result of all these actions, plus our focus on enhancing financial flexibility and driving cash conversion, we initially expected to be at breakeven free cash flow for the full year. We now expect to achieve positive free cash flow. In summary, on Slide 17, Albemarle delivered solid second quarter performance, while continuing to act decisively to preserve long- term growth optionality and maintain our industry-leading position through the cycle. We are maintaining our full year 2025 company outlook considerations, building on the progress we've made to drive enterprise-wide cost improvements and achieved positive full year free cash flow. We are progressing broad-based, comprehensive actions to manage controllable factors and generate value across the cycle. I am confident we are taking the necessary steps to maintain our competitive position and to capitalize on the long-term secular opportunities in our markets. With that, I'd like to turn the call back over to the operator to begin the Q&A portion.
Operator: [Operator Instructions] Our first question comes from Rock Hoffman with Bank of America.
Rock Hoffman Blasko: Could you just go into why the 2H mix may change between contract and spot versus where you were in 2Q, and does this mix potentially extend beyond 2025, implying less than a 50-50 split between the 2 in 2026?
Jerry Kent Masters: No. And it's probably not that exact. I mean it's essentially about our customer demand, right? And they draw more on contracts at a certain period and -- than others. Maybe it's a little different than we had forecast, but it's essentially our customers drawing more volume than we had anticipated in this quarter. And we don't -- we see it moving around between quarters, which is why we -- the comments that you see in our guidance.
Rock Hoffman Blasko: I see. And just as a quick follow-up, given how volatile lithium pricing has been over the last handful of days, what numerically is your underlying assumption of flat pricing? And if pricing does fall off these current levels, how much can it fall before you risk kind of missing your low case guidance for EBITDA and free cash flow?
Jerry Kent Masters: Yes. So we -- I mean, our guidance says that the kind of current price in that range. And we haven't change -- we didn't change our view of that since it moved in the last month. So it's not something that's based on pricing that moved in the last week or weeks. It's kind of our view of where we are in the market. Does that answer the question?
Rock Hoffman Blasko: Yes. I guess any numerical detail on that assumption. Is it $9 per kg for 2H, which is assumed or...?
Neal R. Sheorey: Yes. Rock, this is Neal. Yes, as we said in the prepared remarks, and you'll see it actually on our modeling consideration slide too. Maybe this is an important point that when -- I think some investors look at just 1 price in 1 region to calculate a market price, and that's not exactly the lithium market. So we take a basket approach here. So not only are we taking the price in China, we're taking the price in Asia, ex China. We're also taking carbonate and hydroxide. But regardless, when you mix all of that together, basically, no matter how you slice it, it's been about $9 so far this year, and that's, therefore, the price effectively today, and that's what we're drawing forward as well.
Operator: Our next question will come from David Begleiter with Deutsche Bank.
David L. Begleiter: Kent, can you talk about what you're seeing from a lithium supply standpoint? How much of global supply is offline? What's happening in China vis-a-vis some of the integrated -- non-integrated producers on the spodumene side, and the lepidolite side, I'm sorry.
Jerry Kent Masters: Yes. So look, we continue to think that more capacity needs to come out of the market. It doesn't -- and I don't think it's changed dramatically this quarter versus previously. There have been a couple that have come offline in China. It's not clear exactly why they've come offline. So we're watching that pretty closely. I'm not sure we're drawing any big conclusions from that. So -- and I don't think it's dramatically different than last quarter, really, I guess the only change is a couple of sites coming offline in China and exactly why those came off not clear.
David L. Begleiter: Got it. And just back to the pricing question. Can you talk to what you think underlies the recent pricing volatility in China over the last, call it, months that we're seeing month to 5 weeks here?
Jerry Kent Masters: Yes. So I'd say it's some of the uncertainty around the supply as well. So -- and government policies. And as you know, the China market is very speculative. So it -- but we're not -- we're watching that very closely, but we've not read a ton into it.
Operator: Our next question will come from Laurence Alexander with Jefferies.
Laurence Alexander: If that it takes several years to get back to tighter conditions, can you maintain free cash flow positive if we're at $9 per kilo on average in 2026, 2027, 2028, or can you walk through kind of what incremental adjustments or headwinds you would face in the next few years relative to 2025?
Neal R. Sheorey: Yes. Laurence, this is Neal. Well, look, certainly, that is the goal of all the actions that we are taking and the things that we continue to work on going forward. Maybe just a couple of examples as we turn the page into 2026. Obviously, today, we're very happy about reporting that we hit our 100% run rate against our -- the high end of our cost and productivity target. So 100% of $400 million. Not only are we at the high end of our range, but we're hitting that run rate 6 months early. So clearly, you'll get the full benefit of that as you turn into 2026. Then of course, we're also ramping our facilities as quickly as we can so that we can get the full capability out of our own facilities, and we're able then to back off on tolling and move more of our own material through our own facilities. That will be a benefit as we move into 2026. And then I think one of the key things from a free cash flow -- 2 key things from a free cash flow standpoint, the first is, obviously, we are in an unusual situation here in 2025, where our JV in Australia, in particular, is going through its own growth program. So clearly, as that one gets to the end of that growth program and dials back its capital expenditures. It all depends on where pricing goes, but obviously, that will potentially release some more cash for dividends, and we can get back to a more normal case with dividends coming from our JVs. And then I just have to say in terms of our things in our own control, our own capital expenditures and the work that we've been doing already to continue to be just much more efficient about our capital spending, much more stringent about which projects are moving forward and which aren't. You've seen how we've continued to whittle down our CapEx number through the year. And obviously, we're not stopping here. We're going to continue to look at the book of projects and continue to work on that. And that could potentially be something that I think we can hold this kind of CapEx level at least for another year, if not longer, depending on how market conditions develop.
Operator: Our next question will come from John Roberts with Mizuho.
John Ezekiel E. Roberts: At the current capital spending level, do you fall back to flat lithium volumes here at some point in the next few quarters? Or what's your volume growth outlook?
Jerry Kent Masters: No. So -- John, so I think we -- I mean, the investments that we've made and the programs that are -- that are still going forward around that give us growth for period of time, eventually, right, we run out of that, but it's not the next few quarters, its years, not quarters.
Operator: Our next question will come from David Deckelbaum with Cowen.
David Adam Deckelbaum: Can just kind of ask 2 questions on growth. Just one is, and Neal, maybe you can chime in as well. But the -- obviously, the spends that you guys have rationalized this year, you go into next year, you're finishing up some growth projects, obviously, in Australia. Should volume growth, is it solely going to be coming from Greenbushes in '26 as you think of like the broader corporate portfolio?
Jerry Kent Masters: No, I think we've got -- we'll -- it's not going to be just Greenbushes, it's probably the biggest -- that's the biggest piece of it. But we have capacity at Wodgina and the Salar de Atacama as we ramp the Salar yield project. There's still -- there's a bit more to come there. So -- and look, we try at every asset, both conversion and mine standpoint to gain productivity in both cost, but also in molecules on every asset all the time. So it's not just Greenbushes, that's the biggest piece because that's the one big investment that will come on, but it's broader than that.
Neal R. Sheorey: Yes. Maybe, David, just to add to that, too, is, obviously, lithium, those are the larger assets and bigger pounds. So you kind of tend to focus on that. But I do want to highlight that we are still pushing out incremental pounds from specialties. And in the prepared remarks, we talked about one example of that in Jordan, where we've started up a project that has great financial and environmental benefits, but it also is pushing out more pounds incrementally. So I think there are a few different avenues across the company where you'll continue to see growth.
David Adam Deckelbaum: I appreciate that, Neal. Maybe you can talk a little bit just about the cash deleveraging opportunities beyond the $440 million that's coming due in the fourth quarter this year. How should we think about how you're approaching the balance sheet in '26 is considering the cash balance that you have, but then also if we're going to stay in this sort of $9,000 a ton reference range. How do you think about the next goals in the balance sheet and pushes and pulls in '26 and '27?
Neal R. Sheorey: Yes. Thanks for that question. Look, I think we've been very consistent that across the cycle, we're targeting a leverage ratio of 2.5x or less. We're very happy to be there at 2.3x as we exited the second quarter. But we are at the bottom of the quarter -- or sorry, bottom of the cycle. And so clearly, we've made deleveraging really our -- one of our top capital allocation priorities. And so -- the first thing that I, of course, want to address is the maturity that we have in November, and hopefully, we did that with our remarks today. As we look forward, I think we'll -- we are studying that. It's a little early for me to say exactly what our plans are around that. Other than to say, deleveraging does remain a top priority for us, mainly because I want to make sure, as you said, if pricing is going to stay at this level lower for longer than it behooves us to just make sure we strengthen the balance sheet, and we're prepared for that.
Operator: Our next question will come from Josh Spector with UBS.
Christopher Silvio Perrella: It's Chris Perrella on for Josh. Could you just walk through the puts and takes of the energy storage margins going into the third quarter and then going into the fourth quarter, the assumptions there? And with the pull forward on volume, have you sold out, maxed out your contract tons in the first half of the year, and that would imply the balance of the year is mostly spot?
Neal R. Sheorey: Chris, this is Neal. I'm happy to start on that question. So let me answer the back end of your question first. No, we haven't maxed out the contract volumes. Really, what we saw in the first half of the year is, as Kent mentioned, we just saw a heavier demand on our contracts in the first half of the year, and that's where we got a little bit better mix than we expected. As we look -- additionally, by the way, I should say that -- and we mentioned this in our prepared remarks, we had some spodumene sales that we expected to ship in June, and they just -- quite frankly, they just tipped over into the third quarter. So they have shipped now in July. So that's really another part of the mix. If you think about the puts and takes for the balance of the year, now this is -- I'm saying this here in July, a lot of things could change. But as we look at the order book today, what we're seeing is probably a softer demand on those contracts in the third quarter. So to your point, you'll probably see a little bit more spot mix from a mix perspective in the third quarter. And then we're seeing a little bit stronger demand from a contract perspective coming into the fourth quarter. So that's how you should think about things maybe across the back end of the year. But look, it's July, things can move around. They have moved around as you've seen already for the first half of the year, but that's the best visibility we have right now.
Jerry Kent Masters: Yes. And I'll just let me add to that just because it is mix, not like our contracts are satisfied in the first half. That's definitely not the case. It's mixed. So it's moved around a little bit. We expect to see it really in -- between second and third quarter and then fourth should be more traditional.
Christopher Silvio Perrella: And then just a follow-up, the feedstock costs, you were expected to get slammed with that in the second quarter. Is that now going to hit in the third quarter or there was higher cost spodumene that you had to work through. Is that not the case anymore? Or what's -- I guess, what's depressing the margin even more in the third quarter?
Jerry Kent Masters: Yes. Chris, the way it's worked out. I think we did work through a little bit of it in the second quarter. But yes, you're right. It's primarily more of it's going to get worked off in the third quarter just based on how the inventory is flowing through the system.
Operator: Our next question comes from Aleksey Yefremov with KeyBanc CM.
Aleksey V. Yefremov: I just wanted to follow-up on the second half guidance. Should we just think about this as the basis sort of, of the run rate for next year? Or is the mix maybe not representative, it's sort of not rich enough because it doesn't have enough LTAs in it. So really a question about second half as the basis to think about next year's EBITDA?
Jerry Kent Masters: Yes, I think you're reading too much into it. So it's mix between customers moving back and forth. We -- and our -- it's kind of -- we said about 50% of our mix now has got long-term agreements with floors, and that will be the case going into '26. And there, we do have a couple of contracts that run off in '26. But as we've said before, we don't really expect those to run out. We'll negotiate those and extend those. That's our expectation. So I think I wouldn't get carried away between the first half, second half. The mix is going to be the same and it moves around by quarter.
Aleksey V. Yefremov: Okay. That's helpful. And I think I remember earlier before you revised your CapEx lower for this year, you were signaling there would be additional opportunities to lower CapEx next year. Did you pull those opportunities forward? Or could you bring CapEx down even more after -- after you just stepped it down?
Jerry Kent Masters: So look, we're pretty -- we're focused on CapEx and operating costs. I mean we're focused on all of those pieces. I think you see us working kind of across that portfolio to drive cost out of the business includes CapEx. So we're not going to say what the CapEx rate will be next year, but we're very focused on it. Our goal would be to drive it down, but we're going to -- we've got to see exactly what those are as we go into planning for next year. But we've adjusted our forecast for this year, and we have a pretty good track record of hitting those when that's the case. And then we're very focused on driving that out. But there is a -- we're getting close to the level where it's hard to take big chunks. It's getting to be smaller pieces as we go, but we continue to be focused on that.
Operator: Next question comes from Joel Jackson with BMO.
Joel Jackson: Your JV partner at -- one of your JV partners I agree, which is talked about first ore at CGP3 end of the year, not first concentrate. It's a bit of a nuance there. But is that right? Are we not expecting really any volumes now into maybe early into '26, maybe early to mid-'26? So what's your thoughts there?
Jerry Kent Masters: Yes, I would say it's probably -- before we start seeing volume there, it's going to be '26 -- or I'd say early in '26 probably not -- maybe not day 1, but early in '26.
Joel Jackson: Okay. And then also a bit of a different question. We obviously saw what happened with MP Materials over the last month or so. We know the DOE has been out there with programs, DOD has money, Lithium is not rare earth. But looking at Kings Mountain, is that a project that is strategic to the U.S. to the point where Albemarle want to start doing due diligence with different government organizations trying to get the profile of that project up and maybe trying to look at a way to be something like an MP Materials kind of importance for the country.
Jerry Kent Masters: Yes. So I would say, look, we're encouraged by the focus that the Trump administration has put on critical minerals. As you say, rare earth is kind of at the very top of their list, but lithium is something that they're looking at as well. We've been saying for some time that to build out a U.S. full supply chain, primarily conversion as well, you need public-private partnerships. And it's interesting to see government moving on something like MP Materials to do exactly that in the rare earth space. So -- and we've been talking with the government for some time about the need for those type of things. So we think it's encouraging. We like the focus that the government is putting on critical minerals, and we're very happy to have conversations about it.
Operator: Our next question will come from Vincent Andrews with Morgan Stanley.
Vincent Stephen Andrews: Just wanted to ask on the mix. Is there a production geography aspect of it too? In other words, do your contracts skew a little bit more towards Atacama volume? Or are they evenly split geographically in your production facilities?
Jerry Kent Masters: So yes, I would say that -- I mean, it's split around, right? It's not exactly in 1 location. All of our contracts pretty much are Western -- with Western players. Now that doesn't talk about the facility that it comes from or actually where the ship to location is necessarily. But almost all of our long-term agreements are with Western players.
Vincent Stephen Andrews: Okay. And as a follow-up, obviously, a nice job reducing the CapEx. Could you just give us a sense of most recent reduction, what is that coming out of? And also, do you have an updated maintenance CapEx number for us now that the CapEx number has moved lower again?
Jerry Kent Masters: Yes. So we're not giving guidance on kind of maintenance versus growth capital, but it's coming out of a lot of small places, right? It's just focused on capital, pushing things out, tightening things up. And as we get into planning for next year, then maybe we can give you a little bit more detail on that. But at this point, we've lowered our guidance this year, and we would anticipate continuing to drive capital out of the plan, but it's getting harder, I would say.
Operator: Our next question comes from Colin Rusch with Oppenheimer.
Colin William Rusch: I guess I have a 2-part question. One, thinking about the government involvement with market dynamics on critical materials. Have you seen any indication that they might start setting pricing in the market? And then a secondary question is around refining capacity and technology. You guys had been kind of adjacent or involved in a project around dry processing. I just want to get an update on how you guys are thinking about potential technology evolution around some of that conversion of refining process technology in North America.
Jerry Kent Masters: Okay. So I guess, I mean, it's 2 quite different questions. So the first around government involvement and pricing. So we're not -- we don't see that. They've not really been involved in that. I guess, the closest thing you'd see is the MP Materials deal is they've done purchases from a DOD standpoint. They did set a price for that, but that's -- I don't see that as getting involved in the market. So we don't really see that or we haven't seen that. And then on the technology, I'm not exactly sure. We look at process chemistry as a key advantage for us in conversion, but that includes like DLE, which is probably the biggest focus we have on, on new technology, but it's also streamlining the technology that we have in our hard rock conversion assets. I'm not sure what the dry comment was, what technology that is around dry processing because I'm not familiar with that.
Colin William Rusch: Yes, that was a process that Tesla was working on in and around the San Antonio facility where they were doing that with a different closed-loop system. But I can take that offline. I guess the follow-up question here is around China policy. You guys have gone through a number of policy cycles around EVs. And obviously, that government is focused on short-term sales historically, then following up with incremental policy adjustments to kind of maintain market integrity. Can you just give us an update on your current thoughts on the evolution of the EV policy in China, and how you see that evolving over the next 2 to 3 years?
Jerry Kent Masters: Yes. So I mean, look, I mean, you're right in that you see them making adjustments in incentives. I think those are around the edges. The broader policy is -- I think it's a key technology for the Chinese. They see it as a way to own a segment and do an export to the world around that. So they've spent a lot of time in development on R&D all the way through the value chain from EVs and batteries, cathode, even the lithium supply chain. So I think they see it as a strategic segment for them as a way to export materials from China and create more jobs in China. And then a lot of what you see on the increment around incentives for EVs, I think, is just kind of trying to balance activity and what's happening around that. I don't read that much into those, those are short-term incentive programs, but I think long-term, they see it as a strategic segment.
Operator: Our next question will come from Ben Kallo with Baird.
Benjamin Joseph Kallo: Sorry about that. You talked about contract renewals for things that roll off next year. And I'm just wondering like from your customer perspective, how contracts are structured with the current price is like [Technical Difficulty]? And then my second question is on the prepayment that you guys got, I think, last quarter. How is that contract versus what's out there right now? Because prepayment in my mind, I think it's at cheaper prices, if they're good to prepay.
Jerry Kent Masters: Okay. So Ben, that was a little bit unclear. So you were asking about the contract structures and then the prepayment. So I think that -- I mean, there's 2 different things, right? I don't think you would -- our traditional customers or people through -- in the value chain. The prepayment is kind of was a unique deal that we did. I don't see that changing our overall contract structure overall. And maybe Eric can comment on how -- I think you were asking how our customers are seeing our contract structure versus spot market.
Benjamin Joseph Kallo: No. When you renew -- sorry about that. when you renew it next year, like how they're viewing current prices and restructuring the contracts?
Jerry Kent Masters: We have an active pipeline process where we're for existing customers and potential new looking out 3, 4 years, just as we traditionally have done. Admittedly, in the low-price environment, we had slowed that a bit, but we're seeing renewed interest as OEMs look towards the end of the decade and have their own calculus around how they see supply playing out that they want the security. We have 2 contracts that towards -- it's about -- yes, 1 or 2 contracts that towards the end of next year come off. Both of those were in discussions at various stages with those 2 customers to get -- to extend them, or to renew or enter into new contracts. The structures are going to be similar to what we've done in the past. They're going to be exposed to the market, but there's also some measures of protection that we're looking at for ourselves and security, obviously, that the customer is looking at for themselves. So more to come, but that's a part of our ongoing process.
Neal R. Sheorey: And Ben, this is Neal. If I can just circle back to your prepayment. I think what I was hearing is you were asking something about the price that kind of underlies the prepayment. I just want to highlight, and we said this when we struck the deal back in the first quarter, its market indexed. So I don't -- I couldn't quite hear your question. It sounded like you were asking if it was outside of the market. It is the way the mechanics work is it's linked to the market.
Benjamin Joseph Kallo: Okay. And you guys had the Grace. I think you said early redemption, and that's a good lever for the balance sheet. Is there anything else like dividend or anything else? Like, if we stretch the '27 where like the chart shows pricing still -- you can tell where it is or there's excess supply. Are there other levers like the dividend or anything else that you could pull for cash?
Neal R. Sheorey: Well, Ben, I mean -- this is Neal again. That's exactly what we're working on every day here is we are constantly pulling on all of these different levers, whether that is CapEx, whether that's cost savings, whether that's productivity measures, pumping more volume out of our plants, so we get better fixed cost absorption. So the simplest answer to your question is, yes, there are definitely additional levers that we keep working on to make sure that we can generate a strong cash performance. In this case, we had a unique moment where we were able to do the PIK redemption. But this just highlights that we're looking at all kinds of things that we'll work on. Traditional and nontraditional. That's right.
Jerry Kent Masters: But we're pretty -- I think the message we want to leave is that we're pretty focused on it.
Operator: Our next question will come from Arun Viswanathan with RBC.
Arun Shankar Viswanathan: Yes, I just wanted to ask about the guidance as well. It looks like midpoint of your scenarios still about $900 million, which kind of implies a pretty low EBITDA level for the second half. Could you just walk through some of those dynamics, I guess, on the pricing and volume assumption side? Or is there -- yes, if you'd add anything else as well.
Neal R. Sheorey: Arun, this is Neal. I can start and if others would like to add on. It really is -- I hate to be repetitive, but it kind of goes back to some of the things that we said on the Q&A. It really is a mix effect as we kind of move through the quarters of the year. I think the important thing to start with is we are still hanging on to those modeling guidance ranges even though pricing has kind of dribbled down in the first half of the year, we still -- if we draw the pricing across for the rest of the year, we're still holding on to that range because of all the things that we're working on. But yes, just the way things have worked out, we've just seen stronger demand on our Energy Storage contracts in the first half of the year. As we move through the back half of the year, we'll see some of that not quite as strong. But really, it's just been that some of the volume has been more in the first half than it has been in the second half. It's really nothing more than that. And then outside of that, in terms of things in our control, we have been going much faster on our cost and productivity actions. We've been ramping our plants I'd say, even better than what we expected. So it's really the confluence of all those things that lets us even in this low price environment to hang on to those ranges.
Jerry Kent Masters: Yes. And just -- and reiterate on that, I mean, the price has moved down from when we were doing this at the beginning of the year, and we've held on to those ranges even at this price range. So it's the second half, half of our book of business is roughly exposed to the spot market. And so as that drifts down, it gets more difficult and the actions are offsetting that. So that's how I would describe it.
Arun Shankar Viswanathan: Okay. Apologies if I missed this earlier. You mentioned that you do think more capacity could come offline. I guess what do you expect to see there over the next 6 to 9 months? How much of capacity to say, uneconomic? And are there any further comments on inventory levels that you could share as well?
Jerry Kent Masters: Yes. So look, we're not going to speculate on who might come offline. I mean that would be complete speculation. So -- but we do know people are under a lot of pressure out there and the ones you would look at are people that are -- have 1 asset. That's the only way they're generating cash and they're not generating cash now. So if they are or start-ups that are trying to start up and are not getting the revenue when they anticipated. So those are probably the ones that I would look at, but we're not going to speculate on who might come out.
Operator: Our next question will come from Kevin McCarthy with Vertical Research.
Matthew Hettwer: This is Matt Hettwer on for Kevin McCarthy. To maybe frame the supply question in a different way. Where would you estimate that global lithium operating rates were in the second quarter? And where do you think they would need to be to restore pricing power in a sustainable way?
Jerry Kent Masters: So look, we know on a convert hard rock conversion in China, operating rates are about 50%. So there's way excess capacity in conversion. So then it brings it back to the resource. And that's what we talk about people coming off-line. So I'm not sure we -- what the operating rates are, I mean they're pretty high, and people are -- they -- and that's how you kind of operate mines. They need to operate that way. Otherwise, they become big problems from a cash standpoint. So conversion has a very hard rock conversion and now -- that's all pretty much in China. That's a known figure. It's about a 50% rate. So there's a significant overcapacity there. That means you need to look at the resource and those are probably operating pretty high.
Matthew Hettwer: Okay. And then, regarding your lithium demand forecast, you left it unchanged at 15% to 40% for this year. And given that more than half of the year is in the books, why did you decide to leave the estimate so broad? Other than tariffs, what's driving the uncertainty and that you didn't feel comfortable narrowing that range?
Jerry Kent Masters: There's a lot of -- I mean there's a lot of uncertainty. I mean tariffs are part of it, but you got regulation in multiple jurisdictions around that. So U.S. has been a little weaker. Europe and China has been stronger. So that was our forecast at the beginning of the year. And with all of the uncertainty that we saw, frankly, none of that uncertainty has gone away. It may have broadened a little bit. But given the environment we're in, that's a forecast that we see. It's been -- and it's been puts and takes, right? U.S. looks a little bit weaker than we had originally anticipated, but Europe and China are significantly stronger. And the energy storage market is significantly stronger than we'd anticipated early on. But there's still a lot of uncertainty. So we just -- we've left the range.
Operator: Our last question will come from Patrick Cunningham with Citigroup.
Rachael Lee: This is Rachael Lee actually on for Patrick. Can you dive deeper into the $400 million cost and productivity savings achieved? And what are expectations for incremental savings in the back half and into '26?
Jerry Kent Masters: So the cost out -- okay, sorry, I wasn't sure that I heard that. So yes, that's -- we're pretty much the program that we have put out. Neal, do you want to talk about some of the detail?
Neal R. Sheorey: Yes, sure, sure. So first of all, a decent part of that. If you remember, it's not quite 50-50, but we had put out a target of a certain amount of this was going to be headcount-related, SG&A type of savings. And we went after that very, very quickly. And so that is something that we obviously worked on sort of rapidly as we were exiting last year. And then another chunk of that is a manufacturing cost and productivity set of actions. And that one, we have been progressing that really well. And obviously, now 1 quarter on and here through the second quarter, we're now getting a lot more traction around that. That's what's really allowed us to sort of push to the high end of this range. So we're just doing block and tackling around this, just working on all of the different things that we have in the pipeline around cost out and productivity and just going after those things. In terms of going forward, it's a little early for me to say where we go beyond $400 million. I think you heard Kent say earlier on the Q&A, we're not stopping here. We're continuing to look at what we can do from a cost standpoint, from a CapEx standpoint. A little early for me to give any commitments on that. But we're still looking at that obviously, in this environment.
Jerry Kent Masters: Yes. And I would say our process for taking this on and building a culture around cost out, I think it's quite mature in the manufacturing space, less mature in the other areas. So supply chain, a little less -- the broader supply chain for manufacturing, a little less mature, kind of our back-office processing and getting cost out of that is less mature than that. So we're -- we continue on manufacturing, and then we've got to build the capability to be stronger in the other areas. So a lot of what's come out of this now is overheads and quite a bit from manufacturing. It will probably start skewing toward the other directions.
Rachael Lee: Got it. That's very helpful. Just another quick one, is you're now guiding to free cash flow positive. What are your expectations for working capital in the second half?
Neal R. Sheorey: Look, generally speaking, as we get into the second half of the year, that's obviously a little bit of the higher season, particularly in the lithium business. And so I would expect working capital to be actually a tailwind to cash. You probably have seen so far this year; it's been a little bit of a headwind as we've been building up to the high season. So I think the combination of that plus, obviously, pricing is slightly lower, too. So there could be a little bit of a release of working capital. So net- net, I do expect working capital to be a source of cash as we go into the back end of the year.
Operator: Thank you. That is all the time we have for questions. I will now pass it back to Kent Masters for closing remarks.
Jerry Kent Masters: Thank you, operator. And as we conclude, I want to acknowledge our team's quick response and the ability to execute in this fast- changing market. These are the qualities that drove our strong results this quarter and the ones we'll lean on going forward and will help us sustain our long-term competitive advantages and preserve growth optionality as markets improve. Thank you for joining us today. We look forward to seeing you face-to-face at the upcoming events. I think those are listed on Slide 18. So thank you for joining us. Stay safe and take care.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.